Operator: Good morning. My name is Bruno, and I'll be your conference operator for today. At this time, I would like to welcome everyone to Vertiv's Third Quarter 2023 Earnings Conference Call. [Operator Instructions] Please note, this call is being recorded.
 I would now like to turn the program over to your host for today's conference call, Lynne Maxeiner, Vice President of Investor Relations. Please go ahead. 
Lynne Maxeiner: Great. Thank you, and good morning, and welcome to Vertiv's First Quarter 2023 Earnings Conference Call. Joining me today are Vertiv's Executive Chairman, Dave Cote; Chief Executive Officer, David Fallon.
 Before we begin, I'd like to point out that during the course of this call, we will make forward-looking statements regarding future events including the future financial and operating performance of Vertiv. These forward-looking statements are subject to material risks and uncertainties that could cause actual results to differ materially from those in the forward-looking statements. We refer you to the cautionary language included in today's earnings release, and you can learn more about these risks in our annual and quarterly reports and other filings made with the SEC.
 Any forward-looking statements that we make today are based on assumptions that we believe to be reasonable as of this date. We undertake no obligation to update these statements as a result of new information or future events.
 During this call, we will also present both GAAP and non-GAAP financial measures. Our GAAP results and GAAP to non-GAAP reconciliations can be found in our earnings press release and in the investor slide deck found on our website at investors.vertiv.com.
 With that, I'll turn the call over to Executive Chairman, Dave Cote. 
David Cote: Good morning, everyone. Well, we've delivered another strong quarter, built squarely on getting the fundamentals right, good operational execution throughout the organization that translated nicely, outperforming guidance in the third quarter. I believe we're starting to see a trend and one we plan to continue.
 Financial and operating performance continues to strengthen significantly across the board. And the most exciting part of that is we're still early in our path of improvement. Alignment to great end market matters. We have a great position in a good industry, and our technology differentiation continues to strengthen. Data continues to proliferate in good times and bad times. And that portends a very favorable end market environment for the foreseeable future.
 We're intending to finish the year strong. The benefits of our [ seed ] planning are taking hold and still to be fully realized. Our end markets remain resilient. Operational execution continues to improve, and there is still a lot of runway ahead. That is a great setup as we think about 2024 and beyond. So with that, I'll turn the call over to Gio. 
Giordano Albertazzi: Well, thank you, Dave. In the last 12 months, we have created intense focus on operational execution, including margin improvement and cash flow generation, combined with a sense of urgency, which underpins a high-performance culture. This quarter shows progress across the board, exceeding our own expectations, demonstrating there is still more value the business can deliver.
 Here are some highlights. Third quarter sales were up 17% organically. Americas continues to lead the growth, up 40%. We continue to see headwinds in APAC, specifically in China. More on that in a few slides.
 Very pleased with our orders, up 11%, excluding FX. We were not totally surprised by the strength in orders. We have seen pipelines built, but timing is never certain. We are encouraged by the order booking acceleration. We believe this is a sign of good things to come.
 Adjusted operating profit, that was $296 million, and adjusted operating margin of 17%. Operational execution is sharpening and certainly translating into margin performance. We had another strong cash flow quarter, an area of intense focus, and we are delivering. Of course, this has a nice effect on our leverage, which was 2.4 at the end of September, and guidance gets us close to 2x by year-end.
 Given our performance year-to-date, we are raising our full year guidance. Again, we're now expecting sales for the full year to be up 21% organically, AOP between $1,020 million and $1,030 million and adjusted free cash flow of $625 million at the midpoint. A very strong year continues to unfold, and we see that momentum enduring.
 Let's turn to Slide 4. No changes on the market environment slide. Things are consistent with the picture we gave 90 days ago, healthy markets overall. The data center end market remains strong, with the cloud hyperscale and colocation continued to lead the growth. We see accelerating demand and a strong overall market for the foreseeable future.
 Different customers are at different points in their demand cycle, but they all recognize that strong future demand is coming. There are encouraging signs from enterprise. We are hearing a more positive outlook, but still balanced against some macro concerns. Telecom is still weak. Some telco carriers have delayed investments, and there is a lull in the market after a few years of a strong 5G investment.
 Regionally, APAC remains soft, mainly due to a slow Chinese market, partially offset by encouraging signs in India and rest of Asia. We don't anticipate a sharp recovery in China and expect that it will stay soft until the back end of 2024. Now the bright spot in APAC, India, is quite convincing. A lot of investment happening, and the trend is likely to continue for quite a while.
 We are also seeing good activity in Malaysia, the Philippines and Southeast Asia in general. I continue to be quite encouraged by the market signals. We are seeing the demand formation in the pipeline, in the order book, in conversations with customers all over the world.
 There's a very good seg to Slide 5. Let's go to Slide 5, please. Orders in Q3 were up 11% year-on-year and 16% sequentially. I have said throughout the year that pipeline activity is strong. We are seeing that translate into orders. So not entirely surprising, but encouraging velocity. We anticipate Q4 orders will also be positive year-on-year. I wouldn't be surprised if Q4 growth was like Q3's, velocity is increasing.
 Now we get a lot of questions on the amount of AI activity in our order book. Those questions are often formulated as binary questions. Is it AI? Or is it not AI? But there is no binary answer. If we talk about technologies that univocally are applied to high-density GPU or compute, as for example, liquid cooling, CDUs or some rack-level power distribution solutions, I will still say our order book is in the tens of millions of dollars. But many elements of our portfolio, chillers, direct expansion cooling, heat rejection systems, switchgear, busbars, UPS, you name them are -- regardless if GPU or CPU compute, high density or normal density. So the volume supporting AI or future AI-proof data centers is way larger than that tens of millions.
 Also, many data centers have been designed to be multipurpose. So the majority of our products will support many types of compute, including AI. That is the beauty of having a comprehensive portfolio of all critical infrastructure technologies across the entire span of the powertrain, the thermal chain and IT-wide space infrastructure, something that very few companies truly have.
 Different players, hyperscale, colocation but also enterprise and edge will have different approaches to AI. And now that suits us well. Complexity, customization at scale, all things we're good at. So overall, AI is coming, and we anticipate it will show up. We're in a more pronounced manner in 2024.
 Now on to supply chain. We are in a much different place than we were historically, much different. I'm not just talking about incrementally better than 90 days ago. If you look at the progress over the last year, you tangibly see this in our reduced lead times. Suppliers of key components have been making substantial capacity investments, and we are seeing the benefit. We have qualified many additional suppliers, with a sharp eye on geopolitical diversification and overall supply chain resilience. We are doing capacity locks in key areas to make sure the supply base is strong for today and for the future under various growth scenarios. We will be ready.
 Let's move to Slide 6. Here, we want to provide some additional color around capacity, an important topic given the different growth scenarios that are indeed possible. We start in a strong place, with 22 manufacturing plants around the world. It's much more believable to say you can scale with this strong starting point. The existing footprint was built with the idea that future growth would need to be accommodated. So you've seen us scale, expand existing facilities, ramp-up the 2 facilities -- the 2 new facilities to support growth.
 And we have buffer capacity in our plants today, roughly around additional 25% to support more intense growth periods and can flex across facilities to optimize our production. And of course, we continue to invest.
 Productivity is another capacity lever. The utilization and productivity opportunities are plentiful. And candidly, just starting. Vertiv's operating system is being deployed vigorously across the organization, unlocking further capacity. I enjoyed tremendously running a plant during my early years with the company. So there is a manufacturing in general is near and dear to my heart. It has my and [ there's ] a full attention.
 We'll continue to make capital investments to support growth. We will be ready for what is ahead, but this can be done in a measured way that does not significantly change the cash flow profile of this business. We can invest for growth, prudently and deliver strong free cash flow. And with that, over to you, David. 
David Fallon: Great. Thanks, Gio. Turning in the presentation to Page 7. This slide summarizes our third quarter financial results. As you can see, strong financial performance continues across the board. Organic net sales up 17%, with 9% from volume and 8% from pricing. As Gio mentioned, we continue to see the Americas, which was up 40% organically, drive the growth engine, particularly in this past third quarter.
 Adjusted operating profit was $162 million higher than last year's third quarter, mainly driven by $100 million price cost benefit and $45 million of volume. Adjusted operating profit was $40-plus million higher than our prior guidance, driven by $15 million higher-than-anticipated pricing and $30 million lower inflation, as we have seen some core metals, notably steel, trending lower in the past quarter.
 We did have a onetime $7 million benefit from a commercial concession as we note on this slide that also contributed to the favorability versus prior guidance. This commercial concession also favorably influenced adjusted operating margin by 40 to 50 basis points as adjusted operating margin reached 17% in the quarter. And that's 790 basis point higher than last year, a great indicator of the significant progress we have made in a relatively short period in driving operational execution.
 Certainly more work to do, but third quarter results should provide some confidence in our ability to achieve our longer-term margin targets.
 Moving to the right on this slide. We had another strong quarter of adjusted free cash flow, generating $221 million in the quarter, a year-over-year improvement of $241 million. We continue to see the benefit of higher profitability and improved working capital management really across the organization. Cash taxes were higher, the inevitable result of driving higher profitability.
 But in general, we are driving much more consistency and predictability with our cash flow, controlling the things that matter, notably trade working capital, as we fully appreciate that sales and profitability mean little if they do not translate into cash flow, which is absolutely essential to drive long-term shareholder value.
 Last on this slide, if you look at the bottom right-hand corner, net leverage declined to 2.4x at the end of the quarter and is expected to be approximately 2.1x by year-end. Of course, this net leverage improvement certainly correlates with improved cash generation. Clearly, our balance sheet continues to strengthen, which provides flexibility as we think about capital deployment. And more to come on capital deployment in our November 29th Investor Conference.
 Next, turning to Page 8. This slide summarizes our third quarter segment results. The Americas region continues its strong growth trajectory with organic net sales up 40%, including 28% from volume and 12% from pricing. We continue to see substantial year-over-year improvement in adjusted operating margin in the Americas, up 910 basis points, which is largely driven by favorable price cost and fixed cost leverage.
 APAC top line, moving to the center section of the graph, continues to be negatively impacted by China, with organic net sales in that region declining 7% from last year. From a subregion perspective, the rest of Asia, so everything outside of China continues to grow nicely year-over-year, up low double digits in the third quarter. Adjusted operating margin for APAC remained flat year-over-year despite the lower sales at 19.1%, really a strong testament to their focus on cost control while continuing to drive margin enhancements.
 Now we do anticipate that APAC will return to mid- to low single-digit year-over-year growth in the fourth quarter, in part due to typical fourth quarter seasonality in China, but this region will likely be down for full year 2023 versus 2022. And we are not planning for a sharp recovery in China at the beginning of '24. Rather, we are expecting sales activity to be relatively muted, at least until the back half of next year.
 The EMEA region was relatively flat organically in the third quarter, which was slightly better than we anticipated in guidance. Flat year-over-year sales in the quarter was mostly due to timing, as we expect a significant sequential increase in the fourth quarter, with full year organic sales growth in that region in the upper single- to low double digits. EMEA continues to deliver strong adjusted operating margin, almost 28% this quarter, an increase of 1,030 basis points compared with last year's third quarter, with the improvement driven by favorable price/cost and good fixed cost control.
 And finally, on this page, corporate costs in the third quarter were approximately $7 million higher than last year, driven by both R&D investment and an incremental $3 million foreign exchange loss. Our current guidance assumes second half corporate costs in the aggregate to be consistent with the first half.
 Next, turning to Page 9. This slide summarizes our fourth quarter guidance. We expect a strong finish to the year with adjusted operating profit in the range of $295 million to $305 million and adjusted operating margin at 16.3% at the midpoint, 360 basis points higher than last year's fourth quarter. Adjusted operating margin is expected to be down sequentially from the 17% in the third quarter as regional mix plays a role with higher APAC volume. And recall that the third quarter was favorably impacted by the commercial concession that we talked about a couple of slides ago.
 Adjusted free cash flow is also projected to be lower sequentially as we expect CapEx to ramp up about $35 million, a lot of that driven by timing. And working capital use should be approximately $35 million higher in the fourth quarter versus the third quarter as sales are expected to increase about $100 million sequentially.
 China cash collections are a watch item for the fourth quarter, with larger customers paying a bit slower given the macro environment there and the impact on cash availability.
 Next, moving to Slide 10, our full year guidance. We are increasing projected full year sales by approximately $30 million and adjusted operating profit to $1.20 billion to $1.30 billion, an increase of over $580 million from 2022. This revised guidance is approximately $75 million higher than previous guidance, with $40 million from the third quarter beat and $35 million from the raise in the fourth quarter.
 Full year adjusted operating margin is expected to be 15%, 730 basis points higher than last year, with approximately 500 basis points from higher variable contribution margin and over 200 basis points from fixed cost leverage. And finally, on this page, we are increasing adjusted free cash flow guidance by $75 million to $625 million at the midpoint, $885 million higher than last year. This improvement demonstrates our focus on cash and the operational process improvements that have taken a hold across the organization. And our commitment to delivering strong and consistent free cash flow is a crucial part of our high-performance culture, and I believe this could be a harbinger of continued good things to come.
 And with that said, I turn it back over to Gio. 
Giordano Albertazzi: Well, thank you, David. Thanks a lot. And let's go to Slide 11.
 So some initial thoughts on 2024. I'm going to say we see more tailwinds than headwinds. Our starting point, it is a strong. The data center market continues to accelerate. And AI is forming a tailwind that will likely be more evident in 2024.
 Our supply chain resilience is at a much greater level of maturity. This is important as we think about the demand profiles that may emerge for next year and beyond. Balanced investments in the business will continue. R&D capacity, things that will support the growth of the business for the years to come. We will continue our relentless focus on operational execution and implement the Vertiv operating system increasingly deeply. This will support continuous improvement consistently. We have started making progress, but much more to come.
 There are headwinds too. Certainly, China is slow, and recovery doesn't appear near term. Worth noting, we anticipate more normal seasonality returning in 2024. And for Vertiv, that typically means our financial measures in absolute dollars get stronger sequentially as the year progresses.
 Let's go to Slide 12. Once more, remind everyone that we have our first Investor Conference on the 29th of November. So here are the topics we plan to cover that day. And we'll be sharing a lot of exciting information. I look forward to spending the day with you, talking about our strategy, technology, use on the market, operations and financial framework. We hope you will be able to join us, preferably in person, or remote.
 Let's go to Slide 13. I'd say we have meaningfully evolved from where we were a year ago. You can see that across all the key takeaways on this slide. A lot of improvement. It has been quite intense and fun, and we are still quite far from our full potential. I want to thank our team around the world for the passion and the hard work, tackling challenges every day, making sure we exceed our customer expectations, helping the entire industry scale and holding ourselves accountable for delivering strong results every quarter. I am sure you can see the early signs of a high-performing culture.
 With that, over to the operator. Over to you, Bruno. 
Operator: Thank you. [Operator Instructions] Our first question comes from Scott Davis from Melius Research. 
Scott Davis: Where -- I'm looking at Slide 11, where does telecom fit in this tailwind, headwind? Or is it the lack of kind of telecom being on here, I mean it's more of a neutral? Or just -- I don't know, I'll just stop there. 
Giordano Albertazzi: Yes. No, Scott. I would say, Telecom is neutral right now in this whole picture. Honestly speaking, the fact that telecom is soft is no new news this quarter. That's something that we already signaled for at least the last 2 calls.
 So we see that continuing in 2024. So if anything, we can be surprised by the opposite. In the industry, there is some expectations that sooner or later, the extreme edge will happen in the, let's say, telecom perimeter operations. But again, not counting on that, but having the right technology available and the customer reach, if that happens. 
Scott Davis: Okay. That's helpful. And just as a quick follow-up, price. This has been an industry historically where price wasn't really a big deal until you had the -- not meaningful contributor one way or another until you had the supply chain debacle and needed to get after some. But do you have to start giving back some of that when you get into 2024? Is there a new paradigm just because your -- perhaps your kind of value-based selling and kind of figure out how to hold that -- how to hold the line on price a little bit more effectively than maybe in the past? 
Giordano Albertazzi: Yes, Scott. Certainly, value is a big element. The industry and the line technology is becoming more complex. We will talk certainly about high density. We'll talk about the overall net increment on installed power and the need for total cost of ownership, efficiency, et cetera.
 So the world is becoming more complex. Value in terms of the technology that you deliver matters. And we talked about Vertiv's ability to exercise the pricing muscle, both in terms of process and in terms of translating value in the initial price, both in terms of project price process and in general, pricing new technology.
 But it's also true that the industry -- in the industry in general, there is more demand than capacity. So that is certainly a favorable environment in many respects. I'm going to say that we see in the future, diminishing price gains. We have certainly enjoyed a lot of the kind of catching up after the inflation. But again, we continue to be positive about the future investor respect. 
Scott Davis: Sounds encouraging. We'll see you all at the Analyst Day. Thank you. 
Giordano Albertazzi: Looking forward. 
Operator: Our next question comes from Nicole DeBlase from Deutsche Bank. 
Nicole DeBlase: Maybe we could just start with the comments that you guys made about 2024. I think it's an important distinction with 1 half versus 2 halves since the comps are really difficult in the first half. And I guess the follow-up to that comment is, do you still expect to be able to grow organically in the first half of the year? Or is that going to be totally back half weighted just because of the comp dynamic? 
Giordano Albertazzi: Nicole, as we -- as I mentioned, let me elaborate on it. As I mentioned, we are going more towards a normal is what is historically normal first half, second half. 2023 may expect a little bit abnormal in the sense that we had a pent-up backlog, let me say, almost a 2022 backlog residue that we moved because of the shortage of components, et cetera, moved to the first half of the year. So that makes certainly a more flat H1, H2 year.
 In this moment, we are thinking something that probably will be around 45%, 55% top line, first half, second half. Give and take something, it's too early to say, but that's probably the thought -- that thought process. I would be surprised, and it's again, early, but I would be surprised if H1 '24 were below 2023. So we -- I think it was going to be positive all the way through.
 But again, we'd like to be clear about the seasonality. That's all. 
Nicole DeBlase: That's really helpful. And then the comments that you guys made about capacity and investing in the business. I guess, if we kind of look at the multiyear CapEx picture, are you trying to send the message that CapEx does need to grow from current levels? Or do you think that you can kind of expand capacity gradually at the current levels of spend? 
Giordano Albertazzi: There will be some CapEx growth, as a matter of fact, just as our top line grows. I mean, there will be an element of a proportionality, but probably a little bit more than that. Again, I think this is a unique trend in the industry, the main industry that we serve. And as we said, we have many ways to make sure that we make the capacity available.
 Productivity being one, we're making sure that we use everything that we have created in terms of capacity over the last couple of years. But yes, we -- if the conditions, as we believe, will favor that, we think we can be a little bit more aggressive. But I want to once more highlight the fact that we do not believe that this will materially, meaningfully change the cash flow profile of the business overall. 
Operator: Our next question comes from Amit Daryanani from Evercore. 
Amit Daryanani: Congrats on a really good set of numbers here. I guess the first one I had was, your orders accelerated really nicely, I think it was up 11% year-over-year, you sound more positive going forward on this as well. How much of this uplift do you think in orders is driven by volume versus pricing? And any sense if the duration of -- are the customers are putting in is starting to stretch out as well? And maybe that's helping also. Maybe you can talk about pricing versus volume versus duration on orders would be really helpful. 
Giordano Albertazzi: Okay. So I would say that there is a lot of volume in the orders that we've taken. As I'm saying, we are -- as we are saying, we are -- we're printing nice price numbers this year in our sales. We expect that to trim a little bit. And the growth -- the future growth will have a very good volume component.
 When it comes to the duration, I think you're asking duration in terms of how far out the orders that we are receiving and covering. And I would say it's a little bit of a mixed bag. On the one hand, there are shortened lead times, that I mentioned in a few occasions and also earlier today, are favorable in terms of accelerating what is the so-called run rate more territory business, which is always good, great also in terms of installed base creation for future service revenue. But we see also increasingly the big part of the -- the big players, be them hyperscalers or be them the large colocation players increasingly look out in terms of coverage. So it's really a good combination of the 2. 
Amit Daryanani: Got it. That is really helpful. And then if I can get your perspective on this. There's an expectation that new data center deployments will add, I don't know, 15, 20 gigawatts of incremental power consumption in the next few years. And you think about these racks going from 10 kilowatts to [ 50, 100 ]. Can you talk about what does it do to your power management side of the portfolio? Do we need a completely different set of power solutions versus what we have today? What does that imply for [indiscernible] because I think [ Edwards ] always focused on the cooling side, which is obviously incredibly positive. But I'd love to know how does it play out on the power management side as we shift into these higher density racks? 
Giordano Albertazzi: Well, it's an absolutely good point that -- it's a very important part of our portfolio as well as a thermal part and one that will benefit from the expansion, the acceleration, the gigawatts that you are mentioning. Fundamentally, the powertrain that we have, from medium voltage switchgear all the way to busbars and PDUs, so the entire powertrain, it's not going to change dramatic. It's just going to be more, deployed more because it's more power that needs to be transferred from the grid to the chip.
 So it's good news. It's a net volume increase. There will be some fine-tuning in what exactly happens in terms of power distribution inside the rack. Some PDU solutions will be designed for high density, but it's a relatively small portion of the total powertrain that will expand as a lot.
 The other aspect is positive for the power side of our business is that power is, as we said several times that the industry is very vocal about that, an overall constraint, power availability for new data centers. And that drives operators to think about alternative ways to power. So dynamic power solution, microgrids, battery, energy storage systems, et cetera, are all future opportunities that we are keenly looking into and for which we are cooperating with the big players in terms of proof of concepts, et cetera. Something -- a future good opportunity for us. 
Operator: Our next question comes from Nigel Coe from Wolfe Research. 
Nigel Coe: And thank you for the preview on the Investor Day. I just want a bit more detail on the geographics. EMEA, negatives this quarter. You talked about some project delays. It looks like it's bounced back nicely in the fourth quarter. How does that break in 2024? Where do you see the [indiscernible] of strength or weakness in Europe right now, especially given the macro? And then you called out China, you're not expecting that to recover until back end of '24. But is there enough growth in India, Philippines, et cetera, to drive -- to kind of offset that in 2024? 
Giordano Albertazzi: Well, I think it's a little bit premature to -- no, absolutely. To be exactly [ tail on ] -- even geographics within APAC. But again, we are very encouraged from what we see in India and Southeast Asia. China, again, we, of course, continue to be a strong player in China, a strong local player in China. But we have kind of a prudent posture in the way we look at the next year.
 When it comes to EMEA, I am encouraged by the pipeline. I'm very encouraged by pipelines in EMEA and also the conversations with the various customers. And you do say that the macroeconomics are not phenomenal in EMEA. And the geopolitics are as hard as it gets. There is clearly a big question mark when it comes to the Middle East, for us, not a big part of our market. Absolutely not a big part of our, let's say, our revenue. But yes, it's -- we don't know what will happen. But overall, for what we can control, absolutely a strong position in EMEA and good pipelines. 
Nigel Coe: Great. A quick one on pricing, because I think it's important to sort of like bet this because there is some concerns around price rollback. Are you seeing any price sensitivity or price-based negotiations or price-based competition across your businesses in any meaningful extent? And then maybe, David, if you could opine perhaps on the carry forward from 4Q pricing into 2024. We calculate about 2 points-plus of price carry forwards. Is that in the right zone? 
Giordano Albertazzi: So Nigel, I'll start with the general comments about the market. I mean, we will live in a commercially active world. Don't get me wrong. So different geographies, especially different types of market, different go-to markets have slightly different dynamics from a price standpoint. But overall, we are optimistic about our ability to continue to have a commercial advantage. 
David Fallon: Yes. And Nigel, on your question on pricing carryover, unfortunately, probably a little premature to give specific numbers that there certainly will be some benefit. It probably is not reasonable to anticipate 8% pricing every year going forward like we've seen this year and even the 7% last year. But we do anticipate to have some carryover impact. And the one thing we can safely say, it's certainly our intention going forward, even beyond, to be price/cost positive. 
Operator: Our next question comes from Andrew Obin from Bank of America. 
Andrew Obin: So as you look at your AI -- yes, yes, as you look at your AI-related pipeline, so are we building more for new build locations? Or is it more retrofit of existing data centers? What does it look like from your perspective? 
Giordano Albertazzi: Retrofit will be an opportunity, definitely. In this moment, we predominantly but not exclusively see new build. But there is also quite encouraging conversations about retrofit. But it's -- things are very much in flux. Things are very much in flux. We participate in both conversations very actively. 
Andrew Obin: And just a follow-up. Where are you guys in terms of -- and I know these questions have sort of been asked, but U.S. capacity utilization today? And how much extra U.S. capacity would be in place by year-end '24? And the current plans. And also curious to know how flexible can you be -- and when I say you -- if I include Mexico, but how flexible can you be in pulling capacity from other regions into the U.S. as there are very different electrical standards? 
Giordano Albertazzi: Yes. No, absolutely. I would say that the general plus-25% that we were signaling during the slide show earlier, it's definitely applicable -- is definitely applicable to pretty much homogeneously across the world. And certainly true for the North American business as of now.
 And as I was saying, we will continue to invest. But we do have a very explicit and well-orchestrated initiative to make sure that we use and leverage the global capacity also for the U.S. It's something that we are doing already partially today in different degrees, different lines of business. But it's something that we will be able to accelerate and accentuate as we go ahead.
 In terms of American codes versus other type of codes, that's something that -- it's just about having the right certification of a plant outside the North American or American region. And it's something that we have or that we are accelerating, depending on the technology. So it's very, very margin-focused and very much something we do and that we will accelerate going forward. 
Operator: Our next question comes from Andy Kaplowitz from Citigroup. 
Andrew Kaplowitz: I know you said that the positive order inflection you're seeing hasn't really been that unexpected. But can you talk about how you're thinking about the longevity of the current order inflection? Would you expect order growth to continue to accelerate into '24? And then how are you thinking about the duration of the up cycle? Do you see the AI contribution as sort of a big gold rush and then it flames out? Or could it last quite a long time? 
Giordano Albertazzi: The second -- the last part of your question, we believe this is a long-term trend. In a sense that we believe that AI will be pretty pervasive. And this is just the beginning. This is a multiyear, truly many years of cycle -- many years cycle, we believe. 
Andrew Kaplowitz: And Gio, maybe just in thinking about the mix of orders, you mentioned enterprise markets. Maybe some encouraging trends there. How much of the incremental order growth is from hyperscale and colo customers? Are they now a larger percentage of your orders versus enterprise? And then how would you characterize the enterprise market? You mentioned some positive signs, but obviously, rates are higher and concerns around the economy. So color would be helpful. 
Giordano Albertazzi: Yes, definitely, colocation and hyperscale are a very large part of our mix and our order intake. And growing actually in terms of speed of growth. So well -- very well covered there.
 What we see is that the acceleration in compute power and anyway, utilization, and volume of data that is further accentuated by AI is going to require some infrastructure also on the enterprise side of the equation. More distributed compute, more edge compute or sometimes even on-prem or proprietary data centers. So clearly, the biggest part of the acceleration is coming, and it will come from the hyperscale, colo and cloud. But we are optimistic and positive about the Enterprise business.
 Plus, the Enterprise business constitute a big portion of what I was referring to, our more distributed territory go-to-market and type of segment. And we are helped by improving lead times. We are accelerating that part of the market. 
Operator: Our next question comes from Mark Delaney from Goldman Sachs. 
Mark Delaney: Yes. Congratulations on the good results. Hoping you could elaborate a bit more on what you're seeing in China and some of the causes of the weakness. In a related topic, to what extent you think geopolitics and export restrictions for AI could impact Vertiv in China, even if it's an indirect effect, Vertiv's own products aren't directly put on to any sort of export controllers? 
Giordano Albertazzi: Yes. Well, we see China as really a general market situation. More so than anything to do with the export restrictions, in our case. I just want to remind everyone that no data flow through our stuff. The only thing we power and cool IT infrastructure. So clearly, the market is not strong in China right now. And we participate to the market as a very local supplier, as a very local player. The majority of our supply chain is local. So we operate as a Chinese supplier, and we move with that market. And that market in this moment is not strong. 
Mark Delaney: That's helpful, Gio. and my other question is just around pricing and -- came in better than your guidance in the third quarter. There's no larger tailwinds in terms of pricing in 2023 guidance relative to what you assumed last quarter. Can you just talk a little bit more on what's been driving the pricing strength that you're seeing in 3Q and for the year? And to what extent it's more about mix or like-for-like pricing? 
Giordano Albertazzi: Well, again, there is a number of actions that we have implemented from a pricing standpoint. But clearly, the mix, the sequence of orders that we execute and a certain degree of being on the safe side and in guiding have all contributed to this price/cost upside. 
Mark Delaney: Got it. Congrats again on the good results. 
Operator: Our next question comes from Steve Tusa from JPMorgan. 
C. Stephen Tusa: So I just wanted to delve into the comments around the first half of next year a little more. We've been hearing that there have been some -- and you guys sound pretty confident on this in the fourth quarter, some -- not only early indications of orders for next year from hyperscalers, but like some real big orders in the last couple of weeks. And that the only real concern is like when they're going to actually want delivery, i.e., like when suppliers are going to produce.
 I'm just curious as to if you're kind of seeing that profile, if you're seeing those orders yet in that you're kind of caution on next year is just more about not knowing really when those things will ship, given that we're in kind of a very growthy and perhaps fluid situation where these guys are still figuring out the best way to go about this.
 I'm just curious as to how tangible that demand is early in October. And I think -- I don't know, it would make sense to me that you guys are talking a lot about capacity here and proving that you have the capacity, which would be juxtaposed against what I think people are viewing as a "soft start to next year." I'm just trying to kind of put that all together and understand how concrete this visibility on orders is that you guys have early in the quarter here in the fourth quarter. 
Giordano Albertazzi: No, just when we're sharing the slide -- going through the slides, we have -- we expect a fourth quarter that is probably going to be up more or less the same that we think something around what we experienced in Q3. So we're quite optimistic about that.
 I would say that we should not read too much in the first half, second half. That's the normal nature of the industry. And again, it would have been the same of '23 first half, were it not for the supply constraints that marred the entire 2022 for us and for everyone else.
 So that, if anything, there was an artificial drift of backlog from, let's say, the second half of '22 to the first half of '23, that balanced the 2 halves in '23 in a way that is not so kind of normal in our type of business. So I would not read too much into it.
 We are happy about our pipeline. We're happy about the order pace. And yes, a lot of those orders will be coming from hyperscale and colo and that type of market. And really, those orders are placed today for tomorrow. Those are aligned with the big site deployments, with fairly forward-looking project plans. So I look at it as something quite normal, starting to happen again. 
C. Stephen Tusa: Right. That makes sense. And then just one last one on -- any updates on how this liquid cooling strategy is progressing? And I assume we're going to hear more about it in the 29th. But any updates there on how you guys are going about that solution? 
Giordano Albertazzi: Well, we are very happy by the way things are progressing in terms of portfolio, in terms of partnerships, et cetera. And yes, as I said in several occasions, we see that as -- we see this piece as additive because it's adding a link to the cooling chain, so to speak, to the thermal chain. We'll certainly have more details at Investor Day here, but pretty -- feel pretty good about what we're doing also with our partners and the biggest chip manufacturers. 
Operator: Our next question comes from Jeff Sprague from Vertical Research. 
Jeffrey Sprague: And just a couple for me. I wonder if we could talk about service a little bit. Obviously isn't growing anywhere near the rate of equipment, which I think is tied to the mix of where the equipment is going. But all this talk about system integration complexity and the like, what is the prospect for kind of service growth to accelerate here or service revenue per unit or per megawatt deployed, however you might frame it? Maybe you could give us some perspective there. 
Giordano Albertazzi: Yes. Service is accelerating for us towards a double-digit growth territory, which, of course, we like. It is in the nature of service, especially the life cycle part of service. I always like to think in terms of project services, the services that you sell with new equipment, say, and instead the life cycle, the duration of the life of the kit. The latter is very important from a profit standpoint, from a customer experience standpoint, but also very important because it compounds over time. But it's built on the installed base that we are growing.
 So we are happy about the direction. We want to accelerate further, and we'll accelerate further. But definitely, a component of service that is being able and uniquely, given our global footprint and experience, uniquely able to accompany our customers in the complexity from an installation commissioning start-up standpoint or retrofit standpoint, customer on the journey of high density, be it cooling high density, very complex. And power high density is something that, a, we are well equipped for, uniquely experienced and geographically positioned, but also getting ready for it. So I am -- I've never been more excited about our service opportunity going forward. 
Jeffrey Sprague: Then maybe you could address capital deployment a little bit more, and maybe we'll hear more about that next month. But maybe your appetite for M&A, your view on whether the organization is up to digesting something else or share repurchases in the cards? Maybe just what the priorities might be? 
Giordano Albertazzi: I would say that there's certainly a very relevant question. And our Investor Day is relative -- is relatively soon about a month. And I think the best thing is to just ask you to be patient for us -- with us for another month. And we will certainly go into those details together on the 29th of November. Bear with us for now. 
Operator: Our next question comes from Lance Vitanza from TD Cowen. 
Lance Vitanza: My question is around how Vertiv is positioned specifically with respect to liquid cooling and direct-to-chip technologies. Are there notable gaps in your product portfolio? And if so, how do you expect to address them? 
Giordano Albertazzi: Hey, Lance, we feel very good about our liquid cooling portfolio. And it's a broad portfolio, and it's a portfolio that stretches direct-to-chip, immersion cooling, so we feel good with what we have today in the portfolio. And again... 
Lance Vitanza: [indiscernible] 
Giordano Albertazzi: Yes, go ahead. 
Lance Vitanza: No, no, please continue. 
Giordano Albertazzi: No, I was saying that would be a big... 
Lance Vitanza: My follow-up was just going -- yes. So just specifically, do you worry about potentially being disintermediated, so to speak, by either hyperscalers or chip manufacturers directly embedding their own or someone else's technology into the chip or into the rack and thus bypassing Vertiv? Is that something that you worry about? 
Giordano Albertazzi: We are working very closely with both hyperscalers and chip manufacturers. And the whole landscape of high-density cooling and power looks very promising to us. And again, more when we're together also in the interest of time. 
Operator: We currently have no further questions. So I would like to hand over back to Giordano for closing remarks. 
Giordano Albertazzi: All right. Thank you very much. Thank you very much. So again, 2023, certainly shaping up as a strong year. We're happy about that. Again, an opportunity for me to thank the Vertiv team around the world for their hard work, dedication and focus. So we definitely have seen the benefits of a stronger execution. And we really appreciate your support. We look forward to connecting with all of you in November at our Investor Conference. With that, thank you very much, and have a splendid day. 
Operator: Ladies and gentlemen, this concludes today's call. Thank you for joining. You may now disconnect your lines. Thank you.